Operator: Welcome to the Avnet Third Quarter Fiscal Year 2020 Earnings Call. I would now like to turn the floor over to Joe Burke, VP, Treasury and Investor Relations for Avnet.
Joe Burke: Thank you, operator. Earlier this afternoon, Avnet released financial results for the third fiscal quarter of 2020. The release is available on the Investor Relations' section of the company's website. A copy of the slide presentation that will accompany today's remarks can be found via the link in the earnings release as well as on the IR section of Avnet's website. Lastly, some of the information contained in the news release and on this conference call contains forward-looking statements that involve risks, uncertainties, and assumptions that are difficult to predict, in particular, the scope and duration of the COVID-19 outbreak and its impact on global economic systems and our operations, employees, customers, and supply chain. Such forward-looking statements are not the guarantee of performance and the company's actual results could differ materially from those contained in such statements. Several factors that could cause or contribute to such differences are described in detail in Avnet's most recent Form 10-Q and 10-K and subsequent filings with the SEC. These forward-looking statements speak only as of the date of this presentation and the company undertakes no obligation to publicly update any forward-looking statements or supply new information regarding the circumstances after the date of this presentation. Today's call will be led by Bill Amelio, Avnet's CEO; and Tom Liguori, Avnet's CFO. Also, Phil Gallagher, Global President, Electronic Components joins us to participate in the Q&A session. With that, let me turn the call over to Bill Amelio. Bill?
Bill Amelio: Thank you, Joe, and thanks to everyone, for joining us on our third quarter fiscal year 2020 earnings call. As we're all well aware, the whole world is dealing with the challenges brought on to us by COVID-19, and Avnet no different. Today we'll walk you through the impact it has on our business. Our third quarter revenues and EPS were down sequentially and year-over-year. Softer demand, particularly in Asia impacted our quarterly results, as well as softer pricing and increased costs related to the impact of COVID-19 on our logistics operations. That said, revenues in our Americas and EMEA regions increased sequentially in the third quarter, which reflects normal seasonality, as well as our focus on keeping the business running as effectively as possible over the past few months. We met the low-end of our original guidance for the quarter, which Tom will talk about a bit later in the call. Last quarter on our second quarter earnings call, we told you that despite the ongoing initial correction, we're starting to see some good signs of stabilization across key geographies. At that time, COVID-19 was still in the early days and confined to Asia. During the third quarter, as COVID-19's reach widened we act quickly to conserve cash and manage our debt prudently. As a result, our focus on working capital management enabled us to generate positive operating cash flow. Looking at our electronic component business, revenues and operating margins were down both sequentially and year-over-year in the March quarter. The most notable region impacting was Asia, with sale orders declined early in the quarter due to the seasonal effect of the Chinese New Year, and was further affected by COVID-19. That said, we did not experience any material disruption to our upstream supply chain, or incoming goods from suppliers. For the most part our distribution centers remain operational as we implemented our business continuity plans to ensure workers safety first and foremost, and then to mitigate any business impacts. In certain areas, we had some minor disruptions due to travel restrictions and other related issues. Shipments to our customers continued, but we experienced longer lead times from new orders in certain regions, and some delays due to the challenges that freight porters had with volumes and border crossing checks. There was no meaningful impact on bookings. Our book-to-bill ratio at the end of the third quarter was well above parity. We kept a close eye on the rate of bookings and backlogs to ensure the integrity and transparency of our supply chain. We continue to work diligently to confirm the orders our customers had were firm, so we could provide the best possible visibility to our supplier partners, allowing them to allocate their resources appropriately. In terms of vertical market segments, as most of you know, we saw weakness in auto as plants in the United States and Europe shutdown due to COVID-19. Our transportation was strong in the beginning of the quarter. We saw a trend down at the end of the quarter. Throughout the quarter and even today, we see continued strength in our defense and aerospace businesses, as well as medical and various parts of industrial, particularly where they are seen as essential. Although, not a vertical segment necessarily, we did see strength and steadiness in our EMS segment. Overall, some operations in our electronic component business, appear to be operating as business as usual during the quarter. However, it is clear that COVID-19 created a high-level of uncertainty, with some recent reports referring to the possibility of advanced buying and pull-ins leading to panic buy. With that in mind, we're preparing for all scenarios including potential challenges in next couple of quarters. Tom will provide more detail on that later. Turning to Farnell, both sales and operating income margins in the third quarter were up slightly sequentially. Farnell started shipping from its new distribution center in Europe, but progress to ramp up the new facility will be slower than initially planned due to COVID-19. During the quarter, we continue to execute our five pronged plan that we put in place to improve Farnell’s competitiveness in the high-service model, and promote long-term success. The five parts of our plans are listed here on Slide 6. We saw signs of progress from our plan in the beginning of the quarter. However, once the lockdown started into the European countries like Italy and the UK, Farnell slowed down as well. Turning to IoT, investors expressed interest in our ability to scale our IoT offerings. Our new IoT partner program will allow us to do just that. Although, the operating environment has changed, we signed up a number of IoT partners in the quarter and we will update you on additional IoT developments in the months ahead.  Despite the current operating environment, we continue to work on our five strategic priorities as outlined on this slide, amplifying our core distribution business, scaling our high margin businesses, extending our digital capabilities, leveraging our ecosystem for growth and driving continuous operational improvement. To be clear, while we are still executing on the long-term goals that we laid out previously, we've adapted our near-term priorities to respond to the COVID-19 pandemic. Overall considering the challenge of the COVID-19 and its impact on global commerce, we believe our third quarter results demonstrate the following. First, our commitment to ensuring our employees' health and safety while keeping our business running as efficiently as possible; the resilience of our business model and the strength of our counter-cyclical balance sheet; our flexibility to adapt quickly to changing market conditions, allowing us to maintain quality service levels for our customers and ongoing value for our supplier partners; our success in activating our business continuity plans. And lastly, our company's strength overall in our ability to withstand challenges and navigate market turmoil. The last point reminds us of Avnet's longevity, and why our company has been able to bring technology to market for 99 years. I'm so proud of our employees across the entire company, and what they've been able to do working together to collaborate with our customers and partners in the fight against COVID-19. In our press release, you will see specific examples of ways we are leveraging Avnet end-to-end ecosystem to accelerate our customer's abilities to provide lifesaving medical solutions, and increase the overall supply of medical equipment. Of course, at the forefront of it all, we are doing everything we can to ensure the safety and health of all of our employees. As we look to the macro forces at play and consider the range of economic forecast, there is unanimous agreement that the global GDP will contract substantially in 2020. The IMF forecast that the global economy will contract 3% in 2020, and contract in the mid to high-single digits in most of the developed countries we serve. Some estimates that the annualized U.S. GDP will fall as much as 40% in the current quarter from a year ago. As we know, unemployment is increased at an alarming rate with 26 million people currently unemployed in the United States. This reflects a level of job loss. It is the worst our country has seen since the great depression. With these factors in mind, and as we look ahead, we acknowledge that the macroeconomic environment will likely have a meaningful impact on our fiscal fourth quarter financial results, across geographies and across our business units. Well, no one knows exactly what the extent of the global recession will be or how long the health crisis will last, we are all taking numerous steps to prepare for a significant downturn. Tom will explain in detail the actions we are taking to ensure financial stability for Avnet during the current uncertain times that we face. In closing, we're encouraged by our performance in the third quarter. Despite recent uncertainty, one key point to remember is that Avnet plays a critical part in the supply chain, for our customers and our suppliers. They depend on us. And many electronic products won't get made without us. While we continue to respond to the COVID-19 pandemic and adapt our business for the challenges ahead and the opportunities, we remain confident in our long-term strategy. With that, I'll turn the call over to Tom to report on our financials for the quarter. Tom?
Tom Liguori: Thank you, Bill, and good afternoon, everyone. I hope everyone and their families are healthy and safe. Let me start by adding on to what Bill said, about how we play a critical on the supply chain. We supply electronic components globally, operating in 100 plus countries. We stock inventory and ship components to customers as they are needed. We're a one stop shop for our customers' procurement staff. And by using our strong balance sheet, we provide inventory and receivables financing to our customers. All of these continue today, and they will for years to come. Therefore, as we managed through the COVID-19 crisis, our financial priorities are centered on, retaining the critical internal resources and capabilities required, to be an integral player in the electronics supply chain; maintaining a strong and healthy balance sheet, so that we can continue to provide financing to our customers; and ensuring the necessary liquidity and financial flexibility to run our operations, no matter the economic environment. As we review our third quarter financial performance, I will discuss these priorities and our actions to support each. Turning to Slide 11, our revenues for the third quarter were $4.3 billion and adjusted EPS was $0.38. Both our revenues and adjusted EPS were within the original guidance ranges provided during our last earnings call. While we preannounced that we would most likely fall short of guidance, our teams were able to keep our global distribution centers operating throughout the quarter and continue to support our customer needs. A lower tax rate and interest expense contributed to the EPS performance. The lower tax rate was part of our longer-term effort to work with operations, and improve the geographic income mix of our business from a tax, as well as cost perspective. Gross margin of 12% was higher than last quarter, primarily due to a lower mix of revenues from Asia. We expected our Asia revenues to decline in the third quarter as a result of Chinese New Year, though COVID-19 played a part as well. Asia became the first region impacted by the pandemic. Adjusted operating expenses of $449 million were higher, both sequentially and over the prior year quarter, as we incurred additional costs to manage through COVID-19.This included cost and inefficiencies for new health and safety work procedures in our distribution centers, new shift patterns, as well as higher freight costs. These costs increases overshadowed lower class in areas like travel and conferences. While it is difficult to put a precise number on the net additional costs related to COVID-19, we estimate the impact to be roughly $10 million. Our adjusted tax rate was 12.8% and benefited from a favorable mix of income. Interest expense was lower due to our improved debt position. Regarding the Texas Instruments transition, our revenues from TI in the third quarter were $401 million, flat sequentially, and $50 million decline from a year ago. We expect to see a decline in TI revenues as we continue through the calendar year. As a result of macroeconomic impacts of COVID-19, we performed an interim test of goodwill and recorded a charge of $160 million, which includes goodwill and intangible asset impairment related to Electronic Components acquisitions in equity investments. The $160 million charge includes a $15 million impairment of equity investments, which is included in other expense. There were no impairments to our Farnell segment. On Slide 12, we show revenues by segment and region. Electronic components revenues of $4 billion declined 5.5% sequentially, primarily due to lower revenues in Asia has resulted the Chinese New Year and COVID-19. Sequentially, Americas and EMEA revenues increased, which reflects typical seasonality. Electronic components' operating margins were 2.1%, down slightly from 2.2% sequentially usable lower sales volume. Farnell revenues for the quarter totaled $335 million, up 1.2% sequentially. The Farnell team achieved a 7% operating margin, showing progress in operating margin improvement. Farnell began the March quarter with fairly strong demand. The demand trailed off in March and appears to be weakening in April due to COVID-19 impacts. Turning to cash flows and balance sheet on Slide 13, we continue to have a healthy balance sheet, with sufficient liquidity to support our global business operations and the working capital needs of our customers. We ended the quarter with a cash balance of $403 million and debt of $1.6 billion. Our gross debt leverage ratio was 2.8 and our net debt leverage ratio was 2.1. Our net book value per share was $37, a $2 decrease sequentially due to the impairment charge we previously discussed. Tangible book value per share remained relatively constant at $29. Recently, investors have asked us about our inventory and the quality of receivables, both key parts of our tangible book value. As of March quarter end, we had $4 billion of working capital, including $3 billion of accounts receivable and $2.7 billion of inventory. We regularly review these valuations. As of quarter end, our receivable aging remains healthy and similar to Q2. In EMEA and Asia, we have credit assurance programs that provide some risk mitigation for receivables in those markets. Historically during a downturn, we may experience some slowdown in the timeliness of customer payments. We've not incurred significant reserves or write-downs in receivables, I attribute that to the quality of our experienced credit team. The same goes with the inventory. Our global teams focus daily on managing inventory, and we have various contractual arrangements with suppliers should our inventories become aged, obsolete or affected by changes in market prices. We ensure a healthy Avnet balance sheet by maintaining our disciplined working capital processes and performing quarterly reviews. Turning to liquidity on Slide 14. Our liquidity position remains strong. All of our businesses are focused on managing working capital and generating cash. During calendar year 2019, we put in place improved processes, reporting, accountability, automated tools and metrics to focus on cash generations. These actions reaped benefits in 2019 with the generation of $948 million of cash flow from operations. The processes and systems we put in place during the last year are serving us well today, as we managed our liquidity throughout the pandemic and downturn. In the third quarter, we generated $98 million of cash flow from operations. This is the sixth straight quarter of positive cash flow from operations. We used the cash to pay down $92 million of debt and returned $58 million to shareholders. Going forward, we want to remind you that we have a counter-cyclical balance sheet, meaning that when revenues decline, we collect receivables and reduce inventory purchases, both of which contribute to positive cash flow. We expect that to continue. And when revenues improve in the future, we would expect to use some of that cash to accommodate the additional working capital. Turning to slide 15, as a management team along with our board, we evaluated several possible economic scenarios for the future, in order to identify and implement any actions required to ensure liquidity. As a result we have taken the following actions. We continue to focus our businesses on managing inventories, receivables and generating cash. We suspended our share buyback program in early March, as a result of the economic uncertainties. We also paused our M&A activities and curtailed non-essential outside services and hires. We are implementing actions to manage our debt. For background, our debt maturity is spread out as shown on Slide 14. We have a $300 million note due in June, which we will redeem at the end of April. The next note does not mature until December, 2021, which means we do not have another debt maturity due for the next 21 months. In addition, we have open lines of credit of $1.6 billion. Our receivable securitization line matures at the end of this summer, and we intend to renew it and it is supported by our U.S. receivables. Overall, our liquidity includes $2 billion of cash and credit facilities to fund near to medium-term operations, and our debt maturity dates are spread out over time. Turning to business outlook on Slide 16, despite COVID-19, we continue to serve the needs of our employees, suppliers, customers and business partners. We are confident in our liquidity position. Like many companies, we are unable to predict to what extent the global COVID-19 pandemic may adversely impact the businesses for the next quarter. Therefore, we are not providing guidance for the fourth quarter. The color we can provide for the fourth quarter is Greater China is operational and the region appears to be recovering from the COVID-19 outbreak. Some uncertainty remains in parts of Southeast Asia, India, and Japan. We expect to drop off in EMEA revenues. Farnell has experienced fairly sizable downturn in revenues. The America's region is cautious, given that continued COVID-19 cases along with government restrictions. However, we see strength in aerospace, defense and medical markets. We expect to continue to incur higher operating expenses as we managed through the government imposed travel and commerce restrictions. These are uncertain times, but Avnet took proactive steps in the third quarter to stabilize our near-term performance and secure our liquidity. We look to continue to do so in the months ahead as we navigate the COVID-19 crisis. As Bill said, Avnet had served customers and suppliers for 99 years, and next year is our centennial anniversary, which is a huge milestone. As a management team, we're focused on keeping Avnet healthy and strong for years to come. With that, let's open the line for Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Adam Tindle of Raymond James. Please proceed with your questions.
Adam Tindle: Okay, thanks. Good afternoon and I appreciate all the color by region. And I want to ask about forward trends into June. I was a little bit confused by the commentary that book-to-bill was above parity at the end of Q3, but the next by the region, it sounds like a lot of negative data points. So first, maybe you could touch on where book-to-bill is now at the end of April? And as we think about June quarter, I'm not asking for guidance here, but maybe you could just touch on what you're currently seeing in terms of a sequential decline? Just for a perspective, your largest semiconductor customer was alluding to a low double digit sequential decline into June. And I'm wondering if that's kind of the level that you're at least currently seeing? Thanks.
Bill Amelio: Okay. And I'll do the book-to-bill question, and I'll have Tom and Phil give a little color on the sequential moves with respect to the revenue. On book-to-bill, we're definitely over parity in every region. And we've also normalized that by given the fact that billings are down. We looked backwards at previous quarter and previous year's billings and said, where do we stand against the bookings, and where do we stand against that if we normalize the higher position that we're still above one. So there's no question that we see some level of robustness with respect to book-to-bill. And with that, I'll have Tom and Phil, chime in on the revenues.
Tom Liguori: Hi, Adam. How are you today? We're not giving guidance, and a lot of it really depends on COVID-19 related events, timing of return to work, changes and restrictions. And, it is still April, so a lot can change between now and then. The ranges you threw out are reasonable, but however, we're not sure exactly what will transpire in May and June. I have looked at the models that are out there. I would bring to everybody's attention that our breakeven from an EPS perspective is in the $3.7 billion to $3.8 billion range. So, if we were at that range, that’s about a $500 million reduction from March quarter. And at 12% gross margin, that's about $60 million that we'd be making up, and that's the commentary on the breakeven. That said, we will be at the end of June, it is difficult to say, what we really liked is what we're seeing with the operating performance of Farnell. The operating performance and potential that we see, that we still have our projects in place for OpEx. Our cash generation seems to be working well. All I would reiterate before turning over to Phil is that, Asia remains to be stable, but we all have seen recent changes in restrictions in Singapore, India, Japan and elsewhere. The one data point that in the near-term that is concerning to us is that Farnell is the one that's seeing a fairly sizable downturn of revenues, which is part of our breakeven commentary. With that, Phil?
Phil Gallagher: Yes, thanks. Thanks, Tom. Thank you, Adam. I'll just add a little bit more, but I think, Bill and Tom covered it really well. On the backlog, to Bill's point in the book -- your booking question, we have a rigorous management process of managing that backlog okay. As the book-to-bills, as Bill pointed out, were above parity.  Today, we're also very cautious to be sure that all the inventory coming in is going to go back out. So, we're working with -- it's like I said, rigorous and day-to-day with our customers and our suppliers, and we're sitting right in the middle of it. As far as the outlook, we're not giving an outlook, but Asia, it seems to be as calm, as Bill pointed out. We're 100% operational across Asia-Pac, and we're back in the offices in Taiwan on a limited schedule. And the demand seems to be coming back, decent First Nation [ph] held up, at least through April, which is really positive. The Americas, as Bill pointed out, Tom did in describe we're cautiously optimistic in Americas we're not -- it's not where we want it to be, but it's not as far down as we thought. And then Europe is the one that's probably got the bigger impact. It's just been shut down though for so long and the automotive is such a big part of the European marketplace. Bu, as the countries start to open up, that's what we're managing between Italy and Austria. Germany us coming back. The question will be, how fast do they bring back our manufacturing. And with the full month of May and June left, we're hopeful that we'll turn that back on as quickly as possible, but that's really about. As Tom pointed out, the defense is strong, medical is strong, parts of industrial are still doing well, and we know where we got some of the gaps with the automotive transportation.
Adam Tindle: Got it. Very helpful. And just as a follow-up, maybe one for Tom. And just because the stock is basically trading at tangible books, so market obviously has a negative view on the intangibles in Avnet. I think you did mention, Farnell is a large portion of the goodwill and there was no impairments related to Farnell in the quarter. So, moving forward -- I know you mentioned expecting a fairly sizable downturn in revenue in Farnell, can you just talk about the gating factors to the impairment test in that segment, and your view on those as the market seems to be expecting another impairment? Thanks.
Tom Liguori: Yes. Thanks Adam, for that. We're not expecting another impairment. That said, we don't know where COVID-19 will go, the testing that we did. Farnell actually has a fair amount of headroom still available, even with our current projections. I would think about it in terms of, if our operating margins were 9% or 10% or lower long-term, then Farnell would come up for possible impairment. We saw a good progress since last quarter. It was only four quarters ago we were at 12% operating margins, so that's very encouraging to us. So, right now, we see a fair amount of headroom for Farnell and impairment. And yes, you're right, Avnet has always traded at 1.1 times net book value and that book value today is 37. We did the test. We tried to be conservative. There were a number of smallest things that were impaired, but I think we ended up in a good position given all of the uncertainty out there. And as you can imagine, these are fully vetted with auditors, and I know many companies are going through the same type of exercise. Does that help, Adam?
Adam Tindle: It does. And one last clarification, I know you mentioned some capital allocation priority changes. I think you're maintaining the dividend, correct me if I'm wrong. And tell me what that says about your feelings about cash flow in the next quarter and beyond? Thanks.
Tom Liguori: Yes. We're going to make a decision on the dividend in May. The dividend is not a huge large cash outlay, it's around $21 million a quarter. That said, let's see where the macro environment is in a few quarters down the road. I'm sorry, now a few weeks down the road to get to mid-May, but we'll make a decision on that. Again, it's not a large outlay.
Bill Amelio: I'd add to that, Adam. Look, we paused the buyback, which is a much bigger outlay. And we think the dividends sends a solid message still that we -- what we feel about the confidence of the company. And as Tom points out, though, if COVID goes further south that all options are still on the table, but at this juncture we don't see that to be a threat.
Adam Tindle: That's helpful. Thanks Bill.
Tom Liguori: Thank you, Adam.
Operator: Our next questions come from the line of Ruplu Bhattacharya of Bank of America. Please proceed with your questions.
Ruplu Bhattacharya: Hi, thanks for taking my questions. I think Tom you said that the additional cost associated with COVID-19 was about $10 million in the quarter. How should we think about those additional costs trending in the fourth quarter? And in general, how should we think about OpEx as a percent of sales? Are there any incremental cost actions you can take to lower OpEx? Thanks.
Tom Liguori: Sure. Thanks, Ruplu. First of all, that $10 million is related to things like freight, which is a near-term issue for us, personal protective gear. All of our distribution centers, they've done a great job of operating, continue to operate, but they're working within social distancing work rules, cleaning, disinfecting. So this June quarter, we would expect most of those to continue probably start to subside through the quarter. Meaning things like, freight costs we fully anticipate to start returning to normal. And I think as our distribution centers get familiar with working with the new rules, their productivity will go up. For the June quarter, I would plan on it being at the same level or slightly below our March quarter. Seeing OpEx as a percent of revenue, you have to forecast revenues. So let's leave that to the side. We historically talked about an OpEx in the mid $430 million. I'm assuming that revenue stay within a reasonable range. I think that's what's a good number to go with going forward. On our OpEx, we continue to work with the $245 million cost reduction plan, that's going well. We've talked about the defined projects in that to fully achieve that. Right now, we're about $190 million of the $245 million achieved. We believe we'll end up at $245 million of savings or probably more. The one thing I would say is that, those are going to take a little longer, meaning in the three to six months longer timeframe. The reason is that some of those savings are based on moving various functions either to a lower cost country or an outsourced type mode. And with our new work restrictions and people working at home, the knowledge transfer takes a little longer. So, near-term, June is going to be very similar to March, once we get the additional costs associated with COVID-19 normalized, we'll be in the $430 million, $435 million per quarter. And over the next 18 to 24 months, you'll see the rest of that $245 million plan come to fruition.
Ruplu Bhattacharya: Okay. Thanks for the details on that, Tom. Just for my follow-up, you talked about the counter-cyclical balance sheet. If I look back to fiscal 2009, I think you guys generated about $1 billion in free cash flow. Any idea, if that level of free cash flow makes sense for the fiscal year? And in terms of your uses of cash, you paid down some debt, you delivered this quarter. Should we expect that delevering to continue as we go forward in the next couple of quarters? Thanks.
Tom Liguori: Sure. So as far as, cash flow and comparing it to 2008, 2009 the model is just similar. So, I think in 2008, 2009 our revenues declined 20% to 30%, and it's quite substantial. At that level of decline, yes, we would generate hundreds of millions if not $1 billion of cash flow. I'm sorry, what was the second part of the question?
Ruplu Bhattacharya: And in terms of delevering the balance sheet.
Tom Liguori: Delevering.
Ruplu Bhattacharya: Yes.
Tom Liguori: Yes. So, right now, our focus is on the balance sheet and really liquidity. So, I would anticipate in June our debt to be the same or lower. And one thing to keep in mind, to the extent we generated a lot of cash because of a slowdown in macro, a good part of it will go back into the business, once to recovery comes. Thank you, Ruplu.
Ruplu Bhattacharya: Thank you. Thanks for the details.
Operator: [Operator Instructions] Our next questions come from the line of Will Stein of SunTrust. Please proceed with your questions.
William Stein: Great. Thanks for taking my question. Many companies and Avnet is falling in this category of posting reasonable results for Q1, and highlighting a reasonably strong bookings, but sort of withdrawing an outlook or not providing an outlook for Q2. As it stands now when you look at that backlog and you think about revenue for Q2, is the concern more than you think perhaps some of the orders could get canceled or pushed?  Or is the concern instead that you feel comfortable with the backlog, but the pace of turns business would be slower than typically? And then as the follow-up that's related to this, I think typical revenue is up a couple percentage points sequentially. Is there any chance you think revenue could be flat in the quarter?
Bill Amelio: Yes. There's a lot packed in there. Well, let me give it a shot and then I'll have my teammates take a shot at it as well. Let's first start with the idea that how good the backlog. Phil mentioned that in the previous question. We put a rigorous management system in place.  We're actually able to look at any individual customer and know what their booking patterns are and be able to determine -- and their billing patterns and be able to term the discrepancy between bookings and billings in a given quarter, as well as going back previous quarters, and previous years to see if all of a sudden there's an anomaly there that we can see, where the outliers are and question customers on whether or not they're two bookings or in fact they are doing some additional bookings that we then would say put stricter terms in place. So, I think that's helping us clean up the backlog to make sure it's really in a good position, because as you can imagine, some of our suppliers who are concerned with filling their factories when they're only running at 40%, they want to make sure the orders they get are really good orders. And they're going to go to actual demand to customers or in some cases, life saving devices for customers. So that's critically important to all of us in the supply chain. With respect to what we think about how the orders look then, there is a concern that if the COVID gets worse, we could see things happening like what happened in automotive where production actually stops. So then all of a sudden, we'll see end user demand kind of get curtailed pretty quickly. And that happened almost overnight, if we recall it's what happened with the automotive sector. And that could happen in the industrial and some other sectors that we're in, communication, consumer, et cetera. So that's really what the concern is with respect to what's going to happen in the uncertainty with respect to demand in the future. At this given juncture our book-to-bill looks solid. I'll pass it to Tom.
Tom Liguori: Thanks, Bill. I would just add, Will that today is April 27, there is a big difference between today and March 27. And maybe in a different situation, May 27, it could be much better or it could be much worse. And so that's really what we're saying by not giving guidance. Phil, anything to add? Go ahead.
Phil Gallagher: Yes. Tom. I would just say, I think, again, you guys said it well. And it's the question, and we're using, frankly, we talked about accountability in the backlog, accountability of the customer, just really we're getting [Indiscernible] by being responsible. And, we need to be good responsible partners with our suppliers as they some of them have some limited capacity as you guys all know. And to be sure that the products that they were asking for, based on our customer backlog they really need. And so we're working upstream with our suppliers and downstream everyday with our customers. And so we just say, everybody needs to be responsible right now. This is something like none of us have seen before.
Tom Liguori: I would add to that Will, what Phil said. We're having weekly calls with each of the businesses, Phil is leading them up. It's very impressive and comforting to look at what the sales and supply chain people are doing in each one of our businesses of staying in contact with the customers, checking what you brought up, is that order real or could that go away in May in June and adjusting our services to ensure our cash flow. So, it's one of them joked that this message will transpire in five seconds, back to the Mission Possible show, which I feel is very humorous, but that's really what it is. It's every day, we're getting new orders, new changes are made, new demand signals, and just an uncertain time. But, everybody's on top of it managing. And, regardless, we believe we'll have a good cash story and keep the company liquid and keep our balance sheet strong. Thanks, Will.
William Stein: Thanks.
Operator: Our next questions come from the line of Matt Sheerin of Stifel. Please proceed with your question.
Matt Sheerin: Yes, thank you. I wanted to ask about the Texas Instruments revenue run-rate. It sounds like that $400 million was higher than you had expected. I think you expected it to be down from last quarter. So, could you give us an update on how you see that transitioning over the next two to three quarters? And I know also, Phil, you've talked about backfilling that lost revenue with other suppliers and other share gains. Can you update us on that? And is this current environment making it more difficult to win incremental business now?
Bill Amelio: Yes. So, I’ll start with that one, Matt. With respect to TI there is of course a lot of questions about the timing of the transition. So here is what you can expect is still we’re on track for seeing it completed by December 31. Although, as we pointed out, we would expect it to see a little bit more of a decline, most likely some impact with COVID-19. So, we’re especially flat sequentially. But we continue with our plan on how we’re going to take or replace that revenue with in fact richer margin other suppliers' products. We're doing pin to pin replacement wherever possible. We've got some share shifts going on between supplier lines and where customers want to make sure they stay balanced with our distributors. And of course, demand creation which takes a little bit longer to get a design win that leads into revenue. But those three are active in place, and we have a really tight management system across the world to make sure we can maximize on the results associated with that. So Phil, do you want to add something else that?
A – Phil Gallagher: Yes. Great job, Bill, thanks. And Matt, good to hear from you, thanks for the question. Yes. This is another one of those rigorous processes we have in place. We're meeting regularly with the regions down to the country level. We know every single customer, every single part, and the DP [ph] dollar generation by customer by part. So, that's the detail what we're doing. And Bill just pointed as pin for pin, new generation designs and share shift, okay, internally customer. We've a tracking process. And I'd say right now we're satisfied, and we're pleased, right, but we're satisfied with where we are in the process against the timeline to replace that business. [Indiscernible] yes, I think we're probably pleasantly surprised that the decline really hasn't come sequentially. We're to comment that we’re point planning on it, by the end of the calendar year, but I think it's attributed to, frankly, if I could put a plug in for our sales and marketing team and our customer engagement, customers obviously aren't really looking to move that business too fast. And I have the complement to the team, but we will be planning on it by the end of December.
Matt Sheerin: Are you expecting that to be down in line with the overall business or a little bit more because that might happen or just no visibility?
Phil Gallagher: Well, we're planning that. That definitely shows -- go ahead though.
Bill Amelio: I'll just say this at this juncture, I would plan it linearly to the end of the year, but you can never tell if it's going to extend or not. I mean, because this -- it's not as we're seeing. It's not an easy thing to move it quickly, but our plan is that every quarter we reassess it, but we're essentially putting the line in place and said it's going to be gone by the end of the year.
Matt Sheerin: Okay. Thank you.
Phil Gallagher: We're modeling. So financially, that's how we're modeling it, yes.
Matt Sheerin: Okay. Thanks Phil. And just on my follow-up regarding gross margin, which was up nicely to 12% and obviously mix that helped you a lot there, particularly with premier Farnell flat and Asia down. It looks like that's going to work against you pretty significantly this quarter. And also could you comment on that, whether you think gross margin is going to be weaker and then the demand creation business, which obviously drive gross margin? Is that weaker just because of customer engagements or down because of COVID or there are no changes there?
Bill Amelio: Okay. I'll take the demand creation question and then Tom can talk about the regional mix. On demand creation we are in fact, holding solid. In fact, it's even a little bit more robust than we expected it to be. So it's still roughly in the core business 30% of our revenues and it continues to be that way. Tom?
Tom Liguori: Sure. Matt, gross margin was up because of mix. When you look at each individual business, their gross margin was pretty much flat to slightly down, and mix will play a part going forward. And what you're bringing up is Farnell, we said would be down the most. And Asia seemed to be flattish, so you are correct. Thank you.
Matt Sheerin: Okay, thanks very much.
Tom Liguori: Thanks, Matt.
Operator: Our next questions come from the line of Steven Fox of Fox Advisors. Please proceed with your questions.
Steven Fox: Thanks for taking my question. Good afternoon. I guess first question, I was just curious if you guys could provide a little bit more insight or color into the receivables, collectable question that you brought up earlier. I know there's differences between collecting from a small business versus collecting from a large EMS provider. Can you talk about how you're supporting some of the smaller customers in terms of credit terms, et cetera? And then I had a follow-up question.
Bill Amelio: Sure, I'll start on and then Tom can give some more color on it. The good news is we've gone through cycles before. And we've gone through cycles, we had -- we didn't see a significant amount of bad debt come out from our customers, which is a great thing. And we believe that may be occur this time as well. We do have some level of insurance coverage across the world, but that's not enough to cover if this gets into a worse position. But we're pretty comfortable with the level of the receivables. And we do an audit check on them on a regular basis to make sure that they are, in fact, good receivables and they fit our accounting standards. Tom?
Tom Liguori: Thanks, bill. Steve, no change in our receivables aging quarter-to-quarter, so that's a very good sign.
Steven Fox: Okay. I appreciate that color. And then just, I'm getting back to one of your original comments, in terms of potential panic buying reports. I mean, like, is there a certain area that maybe you are more suspect of in terms of orders you're seeing or certain region? I mean, what is it that you're most on the lookout for in terms of maybe over buying right now?
Bill Amelio: I would say the following on it. You got to think about that maybe on commodities, the hot commodities that you're considering whether they're SSDs, NANDs, DRAMs. So memory is one where you could have some level of concern. But by focusing on individual customers and individual customer behavior, we're able to fare it out pretty quickly where we think there could be some double ordering or "panic buying" that's occurring. And then we go discuss with the customer and we put tougher terms in place when we believe that's the case. And that helps essentially normalize the demand profile we have assure ourselves that we're not going to be caught with orders that aren't going to be fulfilled.
Steven Fox: Right. But your general viewpoint right now is broadly speaking, you're not seeing that.
Bill Amelio: Yes. If you look at cancellation rates, they're not abnormal at this juncture either. So that's another good indicator. It tells you that we've got a pretty solid backlog.
Steven Fox: Great. That's very helpful. Thank you.
Operator: Our next questions come from the line of Sean Harrison of Loop Capital. Please proceed with your questions.
Sean Harrison: Hi, afternoon everybody. I guess Bill or Phil, could you remind us kind of what percentage of your sales are automotive versus aerospace defense kind of medical given kind of divergent trends you're seeing?
Bill Amelio: Sure. If you look at the split of the key verticals in revenue, EMS represents and it's been steady about 30%, 35% of our business. Industrial and transportation represents another almost 30% and the rest of it is, we'll call it diversify, which includes aerospace and defense, that kind of gives you the balance of the major revenue streams we have.
Sean Harrison: Okay. There's a follow-up. I just want to -- the Farnell weakness. Is that solely a function of that its It's more, I guess, it's stronger position within Europe? Are you seeing any changes in design activity within the business? Or is there something else going on in Farnell where you're seeing kind of the most, the greatest weakness currently?
Bill Amelio: Well, a couple of things. Farnell at the beginning of the quarter was off to a good, really solid start. And we finished really strong from the operating income point of view, demonstrating the fact that our SKU expansion that we're doing, the work that we're doing on our user experience, the web speed, the marketing dollars that we're spending is all effectively starting to work. And then we went into the latter part of the quarter when the UK, Italy and others in the EMEA market went dark, that created an enormous problem for us, as far as things slowing down. And that's essentially we saw. As far as the design activity goes, no, we're not seeing anything different with respect to that. And I think as people come start going back to work again and country start up opening back up again, we'll hopeful that, that turns back around again. But it's still a wild card.
Phil Gallagher: I would just say, we've got a lot of confidence in our Farnell position right now. And to Bill's point, right around March 17, frankly, we started to see that decline, which is where you started to see the acceleration to your point in Europe, okay and UK and whatnot where. Yes, that's their strongest region by a good shot.
Sean Harrison: Okay. That's helpful. And Tom, if I may slip in one last question. Just inventory velocity. Do you think you'll be able to keep it at this level into the June quarter? Or do you somehow think with Asia coming back, you'll actually improve inventory velocity into the June quarter?
Tom Liguori: Well, we think Asia will improve inventory velocity. I think the bottom-line what we're wanting to be able to achieve in June, Sean is positive cash flow. And that implies that working capital will continue to get better. Thank you.
Operator: Our next questions come from the line of Tim Yang of Citi. Please proceed with your questions.
Tim Yang: Hi. Thanks for taking the question. You mentioned weakness Asia in March quarter, I think it was down roughly 4% year-over-year. But one of your largest competitor WPG reported double digit year-over-year growth for the March quarter. Can you provide some color on a disconnect between your performance versus WPG?
Bill Amelio: Phil, do you want to take a shot at that one?
Phil Gallagher: Yes, I'll take a shot that one. And of course, we don't know exactly all the details about WPG. They do play in a different market than we play particularly in processors, memory. They have a very substantial size business in that space and tends to be much lower margin business and we just don't play there. So as far as the share goes in our lines that we manage as far as the basket, in Asia we're holding our own plus some. So, I'm going to estimate that it's a commodity situation.
Tim Yang: Got it. So it's not a share shift, it's more like just kind of marketing mix than --
Phil Gallagher: Yes. I'd say it could be end market mix as to where the processors memory -- those parts, those types of products go that we don't play in as much. Correct.
Tim Yang: Got you. My second question is, can you maybe talk about demand linking average during the quarter? I think you mentioned that in early March that you would not meet the March quarter guidance, but you still achieved the -- on the revenue side is going to achieve the midpoint of the original guidance. Do you see a strong demand in the month of March, which drove that cost side?
Bill Amelio: I'm sorry. Can you repeat the last part of that question?
Tim Yang: So is that just the performance of the month of March that drives the upside so that you can actually achieve the midpoint or the guidance range? But in the beginning of the March, you actually mentioned that you cannot meet the guidance.
Bill Amelio: Well, when we tell we could not meet the guidance it looked like things are going to fall off faster than they did. And we were able to end up doing better than we expected. And as you notice, when you look at some of this operationally, we also had some advantages on tax. So that helped us along as well. But we were really close to that bottom end, and that's one of the reasons why we did the preannouncement.
Tim Yang: Got you. Okay. Thank you.
Operator: Our next questions come from the line of Nik Todorov of Longbow Research. Please proceed with your questions.
Nikolay Todorov: Thanks. Good afternoon, gentlemen. Given the some of the indications of extended lead times, can you talk about the pricing outlook? I know that matters mostly for Farnell and that thing is going to get hit from the topline perspective. But is that a potential area of near-term benefit here over the next couple of quarters? Can talk about the pricing please?
Bill Amelio: Of course, when lead times start to extend, that's always an opportunity to see some ASPs expand as well. We haven't seen that occurring yet, but of course, as time goes on and the situation gets tighter and tighter you will start to see that occur.
Nikolay Todorov: Okay. And as a follow-up, you mentioned the strength in aerospace multiple times. Typically, you think about the production cuts from the major aerospace companies. Is there anything different in your exposure that allows you to see strength in that business? And do you expect to see strength going forward?
Bill Amelio: Yes. I think we made that comment. We're talking more about defense than we are actually aerospace, because clearly with planes not flying, that has an impact on aerospace. But we're not seeing that in defense. And also, as you'd imagine, medical is up for us too, and it's all on the same sector.
Nikolay Todorov: Okay. And if I can sneak one more. Can you talk a little bit about that expanding relationship with Micron? What does that entail for which products or end market that is?
Bill Amelio: Yes. Absolutely. Phil, do you want to give any details, especially at Micron, please?
Phil Gallagher: Yes. Well, we've got Micron around the world on the Avnet core and the simple response, Nick is really just sort of expanding that with Farnell. So it's a real big one that will be across the portfolio of Micron. So it's a nice win for us there.
Nikolay Todorov: Okay, got it. Thanks.
Operator: Our next questions come from the line of Joe Quatrochi of Wells Fargo. Please proceed with your question.
Joe Quatrochi: Yes. Thanks for taking the question. Just kind of building on the last one. Are there any products or categories where we should think about being the most likely to see shortages or extended lead times at this point?
Bill Amelio: Well, I think that's specific by supplier. And I think you could talk to every one of the suppliers and know which ones have facilities in some of the countries that have had lockdowns, like in the Philippines and Malaysia to name a couple.
Joe Quatrochi: Okay. Fair enough. And then just one kind of housekeeping question. How do you think about the tax rate, just given the quite significant decline in the March quarter relative to your long-term target rate?
Tom Liguori: A total year estimate is about 19% and our long-term target has been to get it under 20%. So, we feel really good about the progress within our tax rate, Joe. Did I answer it?
Joe Quatrochi: Yes. That's perfect. Thank you.
Tom Liguori: Thank you. 
Operator: Gentlemen, there are no further questions at this time. I'll now turn the call back to Bill Amelio for closing remarks.
Bill Amelio: Thank you, operator. And in closing, I'd like to say that our thoughts are with all those that are impacted by the COVID-19 across our global community. We are incredibly grateful for the dedication of the first responders and healthcare professionals, who are out there each day working tirelessly to fights with this virus. And we're proud of our employees have risen to the challenge and have come together to make a positive difference in our industry, in our communities and other people's lives. We will continue to monitor the COVID-19 developments closely as things continue to evolve and we'll update you on our fiscal fourth quarter results in just a few months. Thank you, operator.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a great night.